Operator: Ladies and gentlemen, welcome to the Lindblad Expeditions Holdings, Inc. report internally Second Quarter Financial Results. My name is Glenn, and I will be the operator for today's call. At the moment, all participants will be in a listen-only mode. After the speaker's remark, there will be a question-and-answer session. [Operator Instructions] I will now hand you over to your host, Craig Felenstein, Financial Officer at the begin, Craig? 
Craig Felenstein: Thank you, Operator. Good morning, everyone, and thank you for joining us for Lindblad's 2023 Second Quarter Earnings Call. With me on the call today is Sven-Olof Lindblad, Lindblad's Founder and Chief Executive Officer. Sven will begin with some opening comments, and then I will follow with some details on our financial results, balance sheet and current 2023 expectations before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website. Before we get started, let me remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecast or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release. And with that out of the way, let me turn the call over to Seth. 
Sven-Olof Lindblad: Thank you, Craig, and good morning, everyone, and I appreciate you joining us. Hard to believe that it's been about two years since I participated in an earnings call, and I welcome the chance to discuss with you the performance of the company today and the opportunities we see moving forward. Before I do that, I would like to thank our recently departed CEO, Dolf Berle, for the dedication and commitment he brought to LIND expeditions these past couple of years. Together with the management team, the Board of Directors and our employees around the globe, we stewarded the company through the longest lasting downturn in our history, and help position the company for success moving forward. I appreciate Dolf the entire organization for their relentless hard work adapting virtually daily to the challenges posed by COVID by pushing to maximize our existing product portfolio and exploring opportunities to further broaden our platform, all while keeping our guests and guest experience from the center. I wish Dolf the best in his new role closer to home. And while we wish him well, I couldn't be more excited to return and help navigate this great enterprise into a new era. So what do I mean by a new era? First of all, putting the COVID pandemic definitively behind us. Yes, we still have the occasional case, but they no longer significantly impact the overall operations. Our financial results have already started to reflect this reality with EBITDA of $61 million in the first half of the year versus where we were a year ago. Second, it means capitalizing on the massive growth of interest in expedition travel. We've been providing authentic, high-quality experiences to our guests for five decades. And along with our partner, National Geographic, we are poised to build on that success. The poll to connect authentically with nature and culture is growing by the day, and there is no other company in this segment with our track record or with our commitment to providing unique and immersive expeditions. Third, it means building our technology to support innovative ways to drive the business. This quarter, we launched our new reservation system. And as part of that launch, we integrated 15 critical systems across the company, including sales, marketing, accounting, operational, and analytics tools. This was the biggest and final building block in our digital stack transformation, which also included new CRM, a new content management system, a new digital asset management system, and a new customer data platform. Looking ahead, we see tremendous opportunities to leverage the combined capabilities of the STACK to drive more effective and personalized marketing, enhanced customer service levels, better forecasting, pricing and promotional tactics, and efficiency gains for our sales associates. Our implementation has already supercharged our online bookings, enabling cabin selection, new ways to display and merchandise different aspects of our voyages and search for trips and information faster than ever before. We're also able to dynamically price our departures, ensuring that we're pricing each cabin on each trip appropriately. Fourth, the new era means reconnecting our community in creative ways after hearing doubt with so much distance, creating the most modern marketing and sales platform to propel growth. I just mentioned the technology opportunities, but it's more than that. It's mining with historically successful marketing approach which centered largely around direct mail and targeted e-mails with meaningful digital lead generation, focusing on driving first-time bookings through the elevated search campaigns to capture and convert more prospects than ever before. We are also looking for innovative ways to reach new audiences, such as our recently launched collaboration with Food and Wine, barring 14 expeditions in 2024, along the Columbia and Snake River in Washington and Oregon with programming elements, wine selections and special guests selected by the editorial staff of Food and Wine. At the same time, we are doubling the size of our sales force so that we can grow our relationships with Travel Advisers across the country and internationally. More advisers are booking their times on expedition cruises than ever before, and we've hired history-leading salespeople, industry-leading sales people to help us grow our shares in these important distribution partners. A new era also means bringing R&D back to the forefront in terms of new geographies, new experiences. In parts of the world, we have been visiting for years and innovating the ways we immerse our guests to these remarkable destinations. COVID, of course, limited our boots on the ground approach, so critical in developing our unique offerings. We have reconstituted our experienced team in this era and have redeployed our personnel around the globe to ensure our team deliver unparalleled experiences for our guests. And it means looking for new ways to broaden and deepen our platform of product offerings as we maximize our existing portfolio. Expanding our fleet either through acquisitions or through building new capacity and exploring ways to further diversify our land offering. The four land companies we have acquired since 2016 have generated significant growth from acquisition levels. Each had strong momentum coming out of the pandemic, providing high-quality remote adventure travel opportunities to an audience that was cooped up for many months, and we have maintained that momentum in 2023 as we further fine-tune product offerings and focus on reaching wider audiences. As we look to continue to scale these businesses with our dedicated and passionate founders, we will focus on finding additional companies that are best-in-class and aligned from a mission perspective, whereby joining with us, we can collectively propel meaningful growth. So, what is the sum of what I mean by new area here for Land Expeditions? This is definitely a time where survival of those best suited to adaptation is the future. We have a wealth of tenured people, a fantastic Board of Directors and some very talented -- Everyone knows that the mantra can never be adherence to the way we have always done it. We must respect our past, but we must always evolve as the world turns and change it. While we are excited by the momentum across our business today, we are not yet where we need to be. Occupancy across our fleet in 2023 will be up year-on-year, but it is not yet in our historical levels of 90%. Some of the headwinds still remains such that the inordinate amount of large-scale discounting we are seeing in the marketplace as new entrants trying to gain market share, a practice that has absolutely no chance of success in the long run. This is not the first time we have seen this dynamic across the industry. And as we have in the past, we will maintain our commitment to high yields given the experiences we provide. Other headwinds are starting to wane, cancellations, for example, while still slightly elevated from 2019 levels and moving in the right direction every week as travelers get more comfortable coming out of the pandemic and as we have updated our cancellation policies. As we navigate the short term, I think the core question has to be where are we going? And are we poised for sustained and meaningful growth. And I believe the answer is without doubt, yes. Each point of occupancy should yield $4 million to $5 million in additional EBITDA. So clearly, the most valuable opportunity is to get back to the occupancy levels we have historically achieved. As we focus on returning to these levels, while maintaining robust yields, as I mentioned earlier, we will also be exploring ways to further diversify our portfolio of product offerings to further increase the earning potential of the company. So bottom line, we are excited and motivated and most definitely poised for continued growth, and I am both grateful and ready to be backed to helm with this great ship in that expeditions. And with that, I'd like to turn the call back to Craig. 
Craig Felenstein: Thanks, Sven. Lindblad's strong year-on-year growth continued during the second quarter as we further ramped operations with broader use of our fleet and additional departures across our growing land businesses. As we deliver sustained year-on-year growth, we are taking the operational and strategic steps necessary to take full advantage of the expanded earnings potential of the company. The significant investments we have made in additional capacity, diverse product offerings, technological capabilities and our overall infrastructure, has uniquely positioned us to significantly capitalize on the growing demand for high-quality experiential travel. Turning to the quarter specifically, second quarter total company revenue of $125 million increased $34 million or 37% versus the second quarter a year ago as we continue to ramp operations with strong growth across both of our operating segments. At the Lindblad segment, revenue of $87 million increased $23 million or 36% versus the second quarter a year ago. The year-on-year growth was driven by a 34% expansion in available guest nights from broader utilization of the fleet and by increased pricing, which contributed to a 5% increase in net yield to $1,034 per available guest night. Occupancy of 74% was slightly below a year ago, due primarily to significant additional shoulder season inventory as we broaden the use of the fleet and the Peru cancellations early in the quarter, which we mentioned on the last call. The Lind Experiences segment, revenue of $37 million increased $11 million or 39% versus the second quarter of 2022, led by additional departures and guests across our land companies, including natural habitat trips to Africa and the Galapagos Islands, off the beaten path trips to Alaska and the U.S. national parks, Dubai's bike tours in Italy and France and classic journey trips across Europe. Strong revenue performance across both segments generated significant operating leverage, with total company adjusted EBITDA of $6 million in the second quarter, an increase of $12 million versus the second quarter a year ago. The year-on-year growth was driven by a $10 million increase at the Lindblad segment and a $2 million increase at the Land Experiences segment, what is traditionally a slow season. Looking a little closer at the cost side of the business, operating expenses before depreciation and amortization, stock-based compensation, interests, and taxes, increased $21 million or 22% versus the second quarter of 2022, led by a 24% increase in cost of tours, primarily related to the ramp in ship utilization as well as expenses related to operating additional land-based trips. Fuel costs in the quarter were 5% of revenue as compared to 7% of revenue in the second quarter of 2022, reflecting slightly lower fuel prices and the increased revenue profile. Sales and marketing costs increased 18% versus a year ago, primarily due to higher commissions and royalties related to the increase in revenue. The quarter also included some additional costs associated with our digital initiatives, most notably associated with the implementation and integration of our new reservation system, which, as Sven mentioned, launched during the quarter. G&A expense during the quarter increased 18% versus a year ago, excluding stock-based comp and onetime items, primarily due to higher personnel and sales tax costs as we ramp operations and increased credit card commissions related to final payments for upcoming itineraries and for higher deposits on new reservations for future travel. Total company net loss available to stockholders of $25.6 million or $0.48 per diluted share, improved $4.5 million versus net loss available to common stockholders of $30 million or $0.59 per diluted share reported in the second quarter a year ago. The improvement reflects the significant ramp in operations, partially offset by the write-off of $3.9 million in deferred financing costs related to our export credit agreements and additional interest expense of $2.2 million net associated with higher rates and increased borrowings related to our debt refinancing in May. Turning to the balance sheet. We ended the quarter with $197 million in cash and short-term investments, a $77 million increase from the end of the first quarter, led by $68 million in cash provided by financing activities as we further solidified our balance sheet by refinancing our export credit agreements with notes that mature in 2028. The 9% fixed rate notes replaced variable rate debt that had an interest rate of approximately 8.5% in the first quarter and also eliminates principal payments of over $20 million annually. In addition to the cash provided by the refinancing, the company generated positive operating cash flow of $17 million during the quarter, which was partially offset by CapEx of $8 million, including primarily maintenance CapEx and spending on our digital initiatives. Turning to the full year of 2023. We are excited by the sustained operating momentum across our portfolio and continue to anticipate significant growth as we ramp operations and capitalize on our expanded platform. The Lindblad segment has already booked nearly 100% of its full year projected ticket revenues for the year, and we continue to expect total company tour revenues in 2023 between $550 million and $575 million and adjusted EBITDA between $70 million and $80 million. These projections reflect the impact of the elevated cancellations on occupancy during the first half of the year. But as Sven mentioned and as we anticipated, we have seen a slowdown in cancellation rates with regards to bookings for the back half of the year and well into 2024. Please note that quarterly results for the remainder of the year will reflect the seasonality of our business, with the third quarter benefiting from more complete fleet usage and peak seasons across both our fleet and land companies. Conversely, the fourth quarter will be impacted by less available guest nights due to the heavy dry dock and transit time across our fleet, more shoulder season inventory and the seasonality for our land businesses. Overall, we are pleased with the operating momentum across our businesses. And while there will be quarterly fluctuations, we are well positioned for sustained growth as we take full advantage of the expanded earnings potential of the company and the growing demand for authentic and immersive experiences. Thanks for your time this morning. And now Sven and I would be happy to answer any questions you may have. 
Operator: Thank you. Ladies and gentlemen, [Operator Instructions]. If you planned to ask your question, please ensure your phones to local. We have our first question comes from Steven Wieczynski from TiVo. Stephen, the line is now open.
Steven Wieczynski: Hi, guys good morning. So Craig, we did this last quarter, but need to do some simple math here again. Okay, so you did $33 million in EBITDA in the first half of the year, based on your unchanged guidance you're saying our business will do what, let's call it $42 million for the last 2 quarters of the year at the midpoint. And that's with a pretty nice book position at this point. I fully understand the seasonality of your business, but I have really no idea how this business will only do $42 million of EBITDA over the last 2 quarters, especially with where the land-based business is at this point. Can you help me here a little bit? Are you being super conservative? Are you seeing something we aren't seeing? Really just trying to square away why the full year guidance here wasn't touched.
Craig Felenstein: Sure. Thanks, Steph. So, when you look at the full year, there's a number of variables that obviously play into things when you look at the next months. Certainly, cancellations are trending in the right direction. However, they do still remain elevated from where they were back in 2019. And one of a better feel for how that's going to impact really the fourth quarter, which will drive significant variability right now. Obviously, for the third quarter, we feel pretty big. But for the fourth quarter, that variability will be when those cancellation rates change based off of the timeline of when people are allowed to cancel heading into the fourth quarter. So that's, I would say, the first thing. The second thing is, obviously, the last, what I call the last mile bookings, so the bookings that come in for that fourth quarter or for the end of the third quarter now in the short term, we'll obviously don't have a whole lot of cost associated with them given the fixed cost nature of our platform. So those less minute bookings will either drive outperformance or end up where we pretty much expected. And that remains to be seen. What we have seen with regards to booking windows is people are booking overall, a shorter timeline than they had historically the traditional booking window for the company has been somewhere around 9 months. It's trending shorter than that right now, which would lend to some additional short-term bookings. But interestingly, we're not seeing so much in the next 3 months right now. We're seeing more bookings for the first quarter of 2024 and the second quarter of 2024. So it's really those 2 things that will play, what I would say is most with regards to the rest of the year. And then certainly, on the cost side, how fuel prices ebb up or down, will certainly have an impact -- and then the last thing I'll say is we'll have some decisions to make on the marketing side of the house. Right now, the marketing spends that we're putting out there is having really nice returns. If that continues, we may look to spend a little more marketing in the back half of the year. to help drive bookings in the back half of 2024 and 2025. But given some of the new tools and some of the new digital initiatives that we put out there, we'll be able to make those decisions, I would say, in a more timely fashion. So those are some of the variables that will impact the back half of the year.
Steven Wieczynski: Okay. Got you. And then you just touched on this a little bit, but I wanted to trying to understand that again, bookings for '23, look, you're in a very good book position for this year. But can you give us any color on how maybe early '24 looks at this point relative to where you would be historically?
Craig Bernstein: Sure. When you look at where we are for overall 24 -- I'm not going to put a number out there yet. We'll provide that later in the year. But when you look at where we are from a percentage of sale, for example, a percentage of our inventory sold we're, I would say, a little bit behind where we were in 2020, 2019, for 2020, 4 years ago. But we obviously have a significant amount more inventory. So I think we're in pretty good shape from that perspective. We don't have the advantage of all the bookings that were carried over for 2023 due to the pandemic. But we're seeing really nice gains. When you look at the gross bookings that took place for 2024, throughout the second quarter, they were up dramatically versus bookings that were done for 2020 back in 2019. So the trends are all heading in the right direction. The one thing, and maybe I'll provide the opportunity for Sven to talk a little bit about this. Right now, we're seeing really, really strong bookings with regards to what I would say are the tried and true geographies, it's the shoulder geographies, which are relying on past guests, which are, I would say, lagging a little bit. Sven, do you want to provide a little color on that?
Sven-Olof Lindblad: Yes. Well, when you think about it, -- so the past guests make up about 3%, let's say, on average, about 30%, 35% of our overall business. But in certain geographies on our blue water ships, in particular, the more esoteric geographies that are sort of what we call the shoulder season, but they're really better define is more esoteric. They're more reliable, more reliant on past guests. And so in 2020 and 2021, we obviously didn't produce past guest and people past guest with recently are the most reliable source of new business, right? So we lost basically to 34,000 people in those 2 years to draw from on future itineraries. So we're making up for that and it's now getting back into a normal pace, but that loss has made has produced a bit of a shortfall on some of these kinds of wins for a short period of time simply because the base is not that the base of recency is not there to the same degree. But that will be an historic situation, and it will be over pretty soon now because, obviously, starting again in '22 and -- a little bit in '22 and more robustly that base is being built up again.
Steven Wieczynski: And maybe -- can I ask one more, I apologize. But Sven, while you're there, I think one of the questions we get from the investment community is maybe if you could give a little color in terms of why you came back to run the company again? Obviously, you're the founder, you're very involved, but maybe where you are today in terms of where your head is and maybe how long of a move? Is this something that's temporary? Or is this you see you staying in this position for an extended period?
Sven-Olof Lindblad: Yes. Well, first of all, when Dolf elected to move to another opportunity in the 2 years since I left and when he elected to leave, I was still very much involved with the company. I was involved regularly in the management meetings and involved in strategic decisions, et cetera, et cetera. So even though I wasn't in the role of CEO, I was been involved as co-chair in day-to-day activities, actually. So when Dolf elected to leave, it just seems like, okay, it seems like a rational idea of the Board and I spoke about it, and we decided this was the best path forward. Because at the end of the day, obviously, a deep understanding of the business, being built up over all those decades. And when we when we eventually decide and it's not going to be very soon, but at some point in the future, and I don't know exactly when that is, we'll say, okay, it's time to get another CEO and I think I learned a lot from the past experience here in terms of how do you help an individual really come up to speed with the business broadly, even more so than a Volt did and did a great job. But I would like to help that individual even more in terms of understanding the complexities of the business in order to carry on from there.  So this is not an interim position, but it's one that will assess after each year, we'll assess how is this going? How do we feel about it? How do I feel about it? How does the board feel about it? How does the management feel about it? And then we'll move forward from there. But right now, I'm extremely I'm extremely happy to be back doing this. I think the timing is such that it will be very helpful to the business for a period of time. 
Operator: Thank you, Steve. We have our next question comes from Alex Fuhrman from Craig-Hallum Capital Group.
Q – Alex Fuhrman: The results in Q2 were definitely stronger than we were looking for here, nice profitability and revenue. The occupancy was a pretty meaningful step down from Q1. I know, Sven, you mentioned -- talked about some of the headwinds to ramping up the shoulder season or more [indiscernible] itinerary, is that the primary driver of the sequential step down in occupancy? And then as we think about the second half of the year, should we expect a similar dynamic where occupancy is stronger in the third quarter when you run more of your peak season itineraries?
A – Sven-Olof Lindblad : Yes, definitely. So if you look at our business broadly, there are some key geographies that we -- you all -- I don't really like the term, but it certainly expresses it well. rinse repeat. -- that you've developed and then you've developed these programs and you repeat them and you repeat them for several months, in certain instances, for the entire year. Like to go up thus obviously, as an example of an all-year-round program. Alaska is 4 months a year with 4 ships. We had darkish 3.5-month season with 3 ships. -- et cetera, et cetera. And at the end of the day, those are the vehicles that was on the products that bring in new audiences. But you can't do them all the time. If you could, you probably would. But you'd also -- you want a certain amount of diversity. And so the balancing of inventory is a key, key component. And for me, it's like deep in my blood, this notion of balanced inventory because I spent my entire career based on our premise that you have to fill these ships all year around. Otherwise, you're going to get in trouble at some point. So this -- I'm trying to understand why we're a little off on occupancy is directly correlated to this basically 2-year loss of building guest gas community. So inventory when it was developed is not developed because you develop the inventory like years was not developed with that loss in mind. And so it's with an adjustment, and we will get back to those 90 plus/minus percent occupancy, which is what we're geared for, what we're -- our entire way of being drives us to accomplishing that particular goal. Does that answer your question?
Q – Alex Fuhrman: It does. Yes. Thank you very much.
Craig Felenstein: Alex, one thing I would just add on top of what Ben said is and you kind of touched upon this, which is One of the things that we tend to do is tend to focus on certain metrics here when we have these calls, but the reality is the drivers of the business are pretty easy to understand here, right? That is occupancy is a driver as is price as is emanate. And when you look at what happened in the second quarter, you're going to continue to see that the third quarter, which is we're going to have more available gas nights. Valle guest nights will be up dramatically from where we were in 2022 and dramatically from where we were in 2019. And the pricing will continue to be up from where we were last year and be up from where we were in 2019.  So with 2 of those drivers doing really, really well, even as you add additional nights in a spend we call them more esoteric geographies, the profitability of these ships -- even the ones that obsess are a little lower right now is still significant, and we expect to see continued growth across the company when you look at both the third and fourth quarter.
Q – Alex Fuhrman: Great. That's real
Operator: [Operator Instructions] 
Craig Felenstein: Well, thanks, everybody, for joining us today. We appreciate your time this morning, and we're here to answer any additional questions you have. So just reach out with us now. Thanks again.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.